Operator: Greetings and welcome to the Aurizon Second Quarter 2010 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host David Hall, Chief Executive Officer for Aurizon Mines. Thank you Mr. Hall, you may begin.
David Hall: Thank you operator and good morning everyone and welcome to Aurizon's second quarter conference call. With me in Vancouver today I have Ian Walton our CFO; Martin Bergeron our VP Operations; Roger Walsh, VP Corporate Development; Julie Stokke Corporate Secretary; and Chris McLean our Controller. And before we begin the presentation it is now available on our website, I'll ask Julie to read the forward-looking statement language.
Julie Stokke: Thank you, David. Some of the information that will be discussed on this call may be forward-looking in nature, including information regarding the company's strategic plans, anticipated production and other estimates or forecast related to the company's future operation. All such information expresses as of the date of this presentation, the company's plans, expectations and belief, and is based on assumptions that the company believes are reasonable. However, by its very nature, forward-looking information is subject to risks and uncertainties and on that basis there could be no assurance that such information will prove to be accurate, or that expectations will be achieved, and except as required under applicable securities legislation the company does not intend and does not assume any obligations to update these forward-looking statements. For description of the assumptions on which forward-looking information discussed on this call is based and of the applicable risks and uncertainties related to that information, we direct you to management's discussion and analysis for the period under discussion, and to our most recent annual information form, both of which are available on SEDAR and on the companies website. Please also refer to the forward-looking statements, cautionary statement to US investors regarding mineral resources, and notes to investors included in the slide presentation for this conference call and webcast, which presentation is also available on the company's website.
David Hall: Thank you, Julie. So, I am going to refer to the slide presentation that is available on our website and go through that briefly and then we'll open it up for questions. So in summary, I think it was a very active and positive quarter for the company. If we look at the highlights for the second quarter, strong quarter in terms of operations and financial results, gold production of 38,527 ounces, cash flow from operations of $16.5 million, earnings of $5.3 million or $0.03 per share. We ended the quarter with working capital of $122 million, including the $124 million in cash and of course we have no debt. During the quarter, we were successful in increasing the measure of indicated resources at Joanna, and particularly the Hosco deposit at Joanna by 35%. We had very encouraging drill results from the hosted surface drilling that we were doing at Casa Berardi in the area of the Principal zones. And we added to our exploration portfolio by auctioning three very good exploration properties in Quebec. So moving on to the next slide, let's look at our production. Our production is on line with our forecast of producing 145,000 to 155,000 ounces in 2010. As we have indicated previously, we are in a sequence in the mine where the grade is a little bit lower than the average reserve grade, somewhere around 7 grams per ton. Reserve grade for underground is about 7.928 grams per ton. So we did indicate that our production this year would be around about 150,000 ounces a year. But, as we get out of this lower grade sequence at the end of this year move forward and to 2011, 2012 our production should go up to about 170,000 ounces annually, going forward. In terms of cash cost, they where down 6% from the number we had in the first quarter this year to US$504 an ounce. That came from processing about 183,000 tons at an average grade of 7.2 grams per ton. Until I think in terms of this quarter, we were a little ahead, maybe a little better of our plan, but we still maintained our forecast for the year of 145,000 to 155, 000 ounces. Throughput from the mine increased to an average of 2,005 tons per day that's up from 1,870 tons a day in the similar quarter of last year, and up from about 1,900 tons a day in the first quarter of 2010. So, production for the quarter 38,500 ounces that gives us production for the half of about 73,700 ounces. Moving on to the next slide, that it was a strong quarter financially, you can see our revenues increased about 27% going from close to $40 million to a little over $50 million. That came from both sales of 39,964 ounces at an average price of $1082 per ounce, 60% of the sales in the quarter were delivered into our call option at an average price of about 9 or 7 per ounce. And a word on the call option, we are now entering into the last quarter where those will come into play. So in the third quarter this year we will deliver about 13,000 ounces into those last remaining calls at about a little over $900 an ounce. And then once we get into the fourth quarter that call position has gone and we will benefit fully from what we believe will be a strong gold prices going forward on 100% of our production. Moving on to next slide, cash flow from operations again increased from the first quarter growing from about $9.2 million up to $16.5 million and again is attributable to the good results that we had at Casa Berardi from the operation. Moving on to our summary of the financial results, so as I said, for the quarter, revenues of $50 million and earnings of about $5.3 million, $0.03 a share and cash flow from operations of about $16.5 million and reading the cash flow from operations is less than what was in the corresponding quarter last year, as basically because we are spending more money on exploration and various studies in the second quarter this year compared to the comparable quarter last year. And that caused the decrease in cash flow. In terms of our operating profit margins, going on to the next slide, again you can see that they increased to 529 an ounce and for the first half this year from 514 an ounce last year and these margins we see increasing as we go forward. But two things, obviously once we get out of the call position then that will have a positive impact on margins with a 100% of our production is benefited from strong gold prices. And secondly, once we get through the end of this year, then we look at our cash cost per ounce coming down below the present level of $500 an ounce and [Ergo] will have improving margins as we go into 2011 and go forward. The best summary of the results and I want to quickly run through what's happening on the properties, just a reminder that all our properties are in Quebec which once again was rated one of the top three mining jurisdictions in the world and we are very pleased with the additions we've made to our property portfolio in the quarter by signing three auction agreements as we see an opportunity in Quebec to use our financial capacity and technical expertise and we've adjusted those two things and assist small explorers in advancing their projects perhaps a little quicker than they could do if they were left to their own devices. So we see an opportunity there. We've acted on three of those opportunities. And we are continuing to look at other opportunities to round out their exploration portfolio. So we go to the next slide, I think you can see that we've now got a very good pipeline for future growth going all the way from early stage exploration with Duverny, Rex South and Fayolle, Kipawa through to Marban which is a little more advanced through to Joanna which is the property we are doing feasibility study on this year and of course we have our production base at Casa Berardi. So talking a little bit now about the properties at Casa Berardi, just a reminder that our production profile there is about 150,000 ounces to 170,000 ounces annually this year as we've stated we are at the lower end of that range because of the lower grade sequence that we are in. Cash costs for this year therefore will be about $500 an ounce. Going forward, the production in terms of ounces increases and the great increases also and our operating cost comes down, we are looking at a cost of about 425 an ounce as we go forward. Our reserve base of about 1 million ounces at Casa Berardi at the present time and 1.8 million ounces in resources and presently we are utilizing a 2400 ton a day mill, to about 84% capacity. Moving on to the next slide, here we see the one section of Casa Berardi. As we have stated before we have a fairly extensive exploration program underway that will continue through the second half of the year with at least a minimum of $5 million invested in exploration in the second half. This comprises surface drilling primarily in the area of the left of the West Mine, an area one on that sketch and in the area of the East Mine. But most of the activity in terms of exploration is from underground where we have seven drills, eight drills running from time to time, of which probably half of those four drills would be operating from our exploration drift 810 meters below surface in boxes 2A and 2B. We have been encouraged with the results that we have been getting there from the drilling in zones 118 and 123 and we made a decision yesterday to drive around down from the 810 drift, approximately 800 meters east of where the shaft is, that will start very soon, cost is about $2.8 million and that will give us additional access to do more drilling in the area of zone 118 where we already have ounces in reserves and also 123 zone which is looking very promising and where we're looking to upgrade and extend the resources that we have and perhaps move some of those into reserves by the end of the year. So continuing active exploration activity at Casa Berardi, one of the areas that we did focus on in the second quarter was the close to surface mineralization in the area of the principle zone and next slide shows the results that we published there. We're fairly encouraged with those results. We are working on an updated resource estimate for those ounces close-to-surface. We anticipate we will have that completed and those results announced by the end of this quarter. And then we're working on a pre-feasibility study on mining the principle zone area, some of that by open pit and that should be completed by the end of the year. Moving on to Joanna, this is the property where we are working on the feasibility study, the pre-feas last year established reserves close to a million ounces. We've beaten in the first half of this year. We were doing drilling in the area of the Hosco deposit which host those reserves. We were successful in increasing the measured and indicated resources that contained those reserves by about 35%. So presently, we have measured and indicated resources as the project of about 2 million ounces of which about 1.7 million are pertaining to the Hosco deposit. We have another 1.4 million in mineral resources. And again, we're encouraged with the results here. So we have now initiated a new exploration program at Joanna of approximately 5 million that we are starting immediately and will go on into 2011. I'll talk about that in a minute. In terms of the feasibility study, we are on the final stages of the metallurgical test work. We should have some news on that by the end of this quarter and then our target still is to complete the final feasibility on Joanna by the end of 2010. Moving on to the next slide, we will talk a little bit about the exploration program. We have had good success at Joanna since we got involved two or three years ago. Our discovery costs has been less than $10 an ounce and we still think there's a lot more potential left at Joanna. And so that's why we have initiated this 5.1 million exploration program of which roughly 3 million will be incurred in 2010. We think it's very good potential to increase resources and we show there the areas that we will be drilling over the course of this program, total of about 45,000 meters of drilling all gold, drilling in the area around the Hosco pit to the immediate west and east of that in the area of the satellite pit and also doing some drilling on Heva. So we started this program and we anticipate you'll see some results coming out from that as the program gets up to full speed and as we get in to the fourth quarter. Just a brief word on the other projects. Kipawa, a very large property, we started an exploration program there to try to test by drilling some of the gold targets. That program is coming to the end probably in the next, by the end of this month and we would anticipate we will have some results on that again by the end of the third quarter. Now moving on to some of our new properties, first one, we'll talk about is Marban. This is in the Malartic camp. It's very close to outdoor, so very close to infrastructure, about 20 minutes from our office and here we have the opportunity to earn an initial 50% by spending 20 million over three years and at the end of that, making a payment related to the resources that are found. And then, we can get an additional 10% by completing the feasibility study. We will start in September; our initial program will be about $5 million. We'll be doing that with two rigs and we anticipate drilling about 50,000 meters over the course of that program. So the total cost is about $5 million of which approximately half $2.5 million will be incurred in 2010, the balance in 2011. We're pretty excited about Marban. There are some resources there are, there is potential to increase and extend those resources and we looking forward to that program getting under way. Moving on to the next project file. This is another property where we can get initially 50 and up to 65% interest over time. Its 10 kilometers due north of our Joanna property. It's right on the Porcupine-Destor Break. We started our initial program there costing about $3.5 million. The trenching part of that is now completed and the drilling has just started and we will be drilling about 14,000 meters there in the initial program. Moving on to the Rex South. This is in the far North of the province as you can see from the map. Again, we can get up to initial 50 and then increase our position from that over time. It's a very large property; 42 kilometers long by, 15 to 20 kilometers wide, very early stage. Our initial program is underway, which will cost about $1.5 million, which will basically comprise of airborne surveys and ground prospecting and sampling. So, in terms of our priorities and outlook for this year, obviously prime importance is hitting our targets in terms of production at Casa Berardi. We want to grow our resources and reserves in the West Mine area. The drilling to-date has put us in a good position to meet that objective. We also want to have a good look at the East mine. We think its some good potential there. We've been doing some drilling there in the first part of the year. That drilling will continue from surface and indeed from underground in the second part of the year. At Joanna, complete feasibility study continued to test the excellent exploration potential that we believe exist within that land position with the initiation of our recent program. So as you can see, it's going to be a pretty active second half of the year in terms of exploration activity. These are the totals for the year going forward by $12 million on Casa Berardi, of which we spent $7 million; we'll spend about $5 million in the second part of the year. Joanna $5.1 million going forward, of which $3 million will be spent in the second half of the year. The balance will be spent in 2011. $1.1 million on Kipawa; $5 million on Marban, of which half will be sent this year, half next year; $3.5 million on Fayolle, that will all be spent this year; $1.5 million on Rex South, that will all be spent this year; and $0.5 million on early stage [development] project, that will all be spent this year. So we'll be very active with exploration and we continue to evaluate other opportunities to enhance our portfolio and round it out, so we have a very good project pipeline going forward. Just to remind [on this front], we think we have, number one our good location, number two our experienced team that can add leverage to on both the exploration, development and operations front. I think we've shown that we have a good operating team at Casa Berardi with the enhancement of our exploration portfolio. We believe there is considerable exploration upside in the company, and we are dealing from a position of financial strength. Moving on to the next slide, just to remind you of that, at the end of the year cash balances of about $124 million, working capital of a $122 million. And so moving on to the next slide, just a summary of where we are in our growth plan. We are basically in the second phase of a three phase program. Our first phase was building our production base at Casa Berardi. It's done now. Second phase is expanding our exploration portfolio, getting more active on exploration and working on studies to add value by upgrading resources as we have done and as we are doing at Casa Berardi and Joanna, which we believe will lead us to our second mine coming on stream and an expansion and production as we go into the third phase. So I think our advantage is within Casa Berardi, we clearly have a long line production platform. Joanna promises to be our next producing asset, excellent exploration upside within our portfolio, and a robust balance sheet and strong cash flow going forward from which to fund it. So all in all I think we are well poised for the future. Operator that concludes the formal remarks and at this point we'll throw it open for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question is from Cosmos Chiu with CIBC. Please proceed with your question.
Cosmos Chiu: David, I think you might have touched on this, but at Casa, I guess the grades were quite good this quarter compared to last quarter increasing to $7,200 per ton. But in your MD&A you're still guiding to an average of $6,900 per ton for the year. How should we be looking in terms of the second half of 2010? Are you going to have some lower grade periods in Q3 and Q4?
David Hall: Yes. I mean I think it's probably fair to say that if you look at the second quarter, that obviously was a little better than the average grade forecast for the year. So, you have to deal on the averages, so we are going to make that up. So, that's why we haven't changed our forecast for the year. So, in the third quarter we'll probably be a bit lower grade than the second quarter but then as we get into the fourth quarter and beyond the grade will pick up again.
Cosmos Chiu: And also you've been able to increase your throughput once again to 2,000 ton per day. I guess you're still looking for an average of 2,000 ton per day for 2010. But are there any steps that you can take to maybe surpass that level?
David Hall: And I'll let Martin comment, but it's really a function of developing the appropriate number of working places. That's why we are pretty active on the exploration at the present time because we have all those resources sitting within about a kilometer east of the shaft that we want to drill and get after and upgrade those into reserves, but probably for the next 12 months maybe longer, probably 2,000 tons a day is what you are looking at, although going beyond that we are looking at ways to increase the throughput. I'll let Martin comment.
Martin Bergeron: No you're absolutely right, Cosmos. With the flexibility we have at the West Mine at the moment, 2,000 tons per day is probably the optimum that we can reach. We don't want to jeopardize our mining cycle by being more aggressive. But as we open other areas and as you now the mill can take a throughput higher than West Mine is able to supply. So as we open other areas and move eastward, we have planned to increase the mining capacity and the throughput of the mill accordingly.
Operator: Our next question comes from Catherine Gignac with NCP. Please proceed with your question.
Catherine Gignac: Martin, if I can just follow on the questions on Casa Berardi, for the principal area. This is resource estimate, you got a lot of news that sounds like coming for end of September into October, and we'll wait for that news. But if you are looking at a potential new mining area within the Casa Berardi mine, what do you think the timeline would be for pre-feasibility, feasibility and production decision? Would you not anticipate that could be expedited sooner rather than later and is there anything that you see is an impediment for open pit versus underground?
Martin Bergeron: So far what we've planned for the open pit and we have one with some reserves at the east mine and we're looking certainly at the fair possibility with the principal area. We've always planned to mine those areas later in the life of the mine as to not jeopardize any reserves that could be mined from underground. So that will be the case with the principal area. We have a genuine updated resource that in transferred to BBA who is working on the pre-feasibility study. And there will be also an economic evaluation of what can be mined from the surface and what should be mined from underground in order to maximize the economic potential of that area.
Catherine Gignac: Okay, so and in terms of the timeline on when we'll have the BBA study for the end of the year and then you'll review in the first half of next year then?
Martin Bergeron: That is correct. But the idea as I said would not be to put the Principal pit into production in the short-term
Catherine Gignac: Right and also yes, especially if it's open pit and lower grade material?
Martin Bergeron: Right.
Catherine Gignac: Okay.
Martin Bergeron: And then just to add to that Catherine, obviously from the drilling that we're doing underground on the 118 level. By the end of this year, we'll have a lot more and better information on the configuration and the potential of the 118 zone and the 123 zone and that's why we're doing the drilling. We want to find out what those zones represent and then once we do that, we can figure out ways of mining them, timing for mining them and so on so forth. So I suspect that exercise will start at the end of this year and go through first quarter next year.
Catherine Gignac: Okay that was my next question in terms of (inaudible) level. So okay we'll look for that news and perhaps by the time you'll release your year-end results. Would that be appropriate?
Martin Bergeron: Yes it probably would.
Catherine Gignac: Okay and then you went very quickly in terms of all of the exploration. You've got a nice pipeline from production development compared to earlier stage exploration. And can you just tell me from a financial point of view in terms of the amounts that you're looking at capitalizing versus expensing for the second half of the year?
Martin Bergeron: I'll let Ian answer that.
Ian Walton: Yes, Catherine, all the new exploration projects that we've acquired will be expensed Joanna as well even though we're into a feasibility study. All of those costs will be expensed to earnings through certainly through the end of this year. Once we get the feasibility study completed in the green light and from that point forward we'll be capitalizing their cost at Joanna and then we capitalized our exploration costs at Casa Berardi.
Catherine Gignac: Okay and in terms of sustaining capital at Casa Berardi, do you see much of a change from first half of the year?
Ian Walton: No, lets say, the $9.8 million that we described in the upward correction is absence of any capital for the second half of the year.
Operator: Our next question is from Wayne Atwell with Casimir Capital. Please proceed with the question.
Wayne Atwell: Good morning and thanks for taking my call. Can you give us an update on your M&A thinking? This is high priority, low priority? I realize you can't be very specific but timing, what's the profile here?
David Hall: I think the profile is that we run it basically in two (inaudible) parts. One is obviously to expand their exploration portfolio which we are working on so that we add to our land position. We think we've done that successfully. We're still looking at other opportunities in that particular sector where we think as I said we can use our financial capacity and technical expertise to add value through the drill bid in terms of things higher or situations higher up the food chain. We continue to evaluate those. We continue to do fairly detailed due diligence in some instances. Obviously, we haven't pulled the trigger on anything yet but that's not something that we're giving up on, that's something that we're still working on. Maybe, I'll let Rodger add a few words on that.
Rodger Walsh: It's not a quarter end. We think very active. We've had a very disciplined process that we're following. And I think the other aspect just to reinforce the excitement that we haven't touched on Quebec activity is that in benchmarking and looking at relative values in other areas, we just don't home to the potential what's in something strong. So we're very active on both sides and continue to see that way.
Wayne Atwell: So basically, you're doing your homework. You are looking but you haven't found anything that's really worth pulling the trigger on?
Rodger Walsh: Very much that, but we've had a dedicated team in house that's being dedicated to doing that. We've been looking as David said very, very actively at a number of opportunities. We've been working very, very closely with a number of companies and actually working with them in terms of sharing some of their technical expertise which is useful for both of us. And we continue to do that. But if we're going to make and pull the trigger on an attractive deal, it has to be one that can be very, very beneficial to our shareholders and also the shareholders in the other party. So, we're very, very conscience of investments that are very strong part our development process.
Wayne Atwell: Right and would this be a high priority and were you being planning to try to acquire something that's fairly close to production or early stage exploration or what sort is your growth?
Rodger Walsh: We've been looking in various areas around actual production through to advanced stage situations through the early exploration. I think that we're focusing on advance stage. We really have to look very, very closely at what value we can bring to the project. And we have look to some situations that have been quite advanced in the whole process and we can review that and think when we add anymore value to that. Obviously, our preference is to work with something that's bridged the various vast exploration and we can actually bring in expertise from out of the underground side, metallurgy, actual development and we've been looking at a number of situations that fit that category.
Operator: Our next question comes from Brian Christie with Desjardins Securities. Please proceed with your question.
Brian Christie: Just curious David if you guys would look at potentially private placements into exploration companies that may look promising but maybe you don't want to actually get into a joint venture on those projects?
David Hall: Well, I mean, our preference is to get into the property per say. And that's the deal that we've done being focused on that and one case, I think we did do an equity, small equity placement to help out the company but our preference is to put the money right in the property directly so that we earn interest in the property.
Operator: Our next question comes from Paul Burchell with Dundee Securities. Please proceed with your question.
Paul Burchell: Question first of all on your guidance for the rest of the year. It implies production pretty similar to what we saw at the first half of the year, 35 to 45 announced fiscal quarter. If we assume throughput in grades are similar, your costs are going to come down. How do we attribute that by lower operating cost or is this the function of FX?
David Hall: While in terms, I mean I think our cost in terms of costs per ton are probably pretty stable throughout the year, about a $107 per ton average. Obviously, the FX has an impact on our cost per ounce also. Looks as though the grades for the year is probably going to come in over a shade under 7 gram, something like that, 6.8, 6.9.
Paul Burchell: Okay. And this, I'm trying to look at your first half you call it 524. Your second half, your guidance implies 475. So all things be equal and just try to have, have a hard time figuring that out.
David Hall: Think we may get it. It's all in the grades, in the end FX. I mean we have that our guidance for price is 500 dollars an ounce is predicated on 103 exchange rate. This was very close to the rate like you say in the first half. So but I think the prices are going to be $500 an ounce, plus or minus 500.
Paul Burchell: Okay.
Paul Burchell: Okay, on your drilling account that you obviously being very active there over the last couple of years, I suspect that it was pretty obvious that your resources will likely be higher and/or above a higher confidence level, but what about reserves? I know I might be putting you out on a limb here, and if so just tell me, but do you expect to add to your reserves to stay the same? Where do you hope to be when you report, I guess in February?
David Hall: Well it looks at underground and then looks at principle. If the principle drilling has gone well, if the pre-feasibility study comes out well then obviously we'd pick up some of our reserves in the area of the principal zone that would be open [pitable]. So we're looking for an increase in total reserves coming from that. In terms of the underground the objective is to do a little better than just replenishing our reserves, that's the objective. So far it's going well, but we'll see where we are at the end of the year.
Paul Burchell: Okay, thanks. And finally can you remind me what the overburdened depth is over the principal zone?
David Hall: Over overburdened depth, 50 meters.
Paul Burchell: 50, would you freefall that, or how would handle that if you think you are open pitting it?
Martin Bergeron: The decision hasn't been made yet. It seems to be difficult to go ahead with freezing, but we'll look at it in detail. We've done some geo-technical drilling earlier this summer, and we'll have a better grasp of what we will face in the coming months, but every opportunity will be looked at.
Operator: Our next question comes from Michael Starke with Edison Investment Research. Please proceed with your question.
Michael Starke: David, two quick questions, first in terms of your products contract when do you expect these to expire?
David Hall: They will expire in the nearly all in the third quarter I think I've got about $5 million of FX in the fourth quarter.
Michael Starke: Sorry, can you just repeat the amount on the third quarter.
David Hall: Well, I think it's just over $9 million in the third quarter and $5 million or so in the fourth quarter.
Michael Starke: Okay, and then secondly given your cash position, what are your thoughts on paying the dividend?
David Hall: Something that we kick around at the Board level and discuss, we haven't made a firm decision on our way but it's something that we'll continue to evaluate and decide whether that is an appropriate use of our cash and if that's one of the things that our shareholder basis is looking at.
Operator: (Operator Instructions) Our next question comes from Indi Gopinathan with Scotia Capital. Please proceed with your question.
Indi Gopinathan: Just a quick question on the drilling that you are doing, the exploration that you are doing at Joanna, I see that you are planning to do some exploration work at Heva, I wonder if you could remind us of any outstanding sort of permitting end requirements that how about your, I guess not just explore initially but going forward in terms of mining in the future?
David Hall: I'll let Martin comment indeed but its, I don't think there's any big obstacles there, I mean as far as we're concerned, the target we have got quarter of a million ounces there. We think its good potential to drill and in terms of permitting for an operation, our total focus at this point is in terms of Hosco because if there's any operation going to be built and succeeded there, it has to be built around Hosco.
Operator: There are no further questions in the queue at this time. I would now like to turn the floor back over to David Hall for closing comments.
David Hall: Thank you operator. Well, thank you every one for participating in the call and listening to call. We appreciate you're interest and we look forward to talking to you again during our third quarter conference call in November. Thank you and have a good day.
Operator: Ladies and gentlemen, this does conclude today teleconference. You may disconnect your line for this time. Thank you for your participation.